Operator: Good day and welcome to the 1-800-FLOWERS.COM Incorporated Fiscal Year 2017 Third Quarter Results Conference Call. All participants will be in listen-only mode. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Joseph Pititto, Sir, please go ahead.
Joseph Pititto: Thank you, Steven. Good morning and thank you all for joining us today to discuss 1-800 FLOWERS.COM’s financial results for our fiscal 2017 third quarter. For those of you who have not yet received a copy of our press release issued earlier this morning, the release can be accessed at the Investor Relations section of our website at 1800flowers.com or you can call Patty Altadonna at 516-237-6113 to receive a copy of the release by email. In terms of structure, our call today will begin with brief formal remarks and then we will open the call to your questions. Presenting today will be Jim McCann, Chairman; Chris McCann, CEO; and Bill Shea, CFO. Before we begin, I need to remind everyone that several statements that we will make today may be forward-looking within the meaning of the Private Securities Litigation Reform Act of 1995. These statements involve risks and uncertainties that could cause actual results to differ materially from those expressed or implied in the applicable statements. For a detailed description of these risks and uncertainties, please refer to our press release issued early this morning, as well as our SEC filings included in the Company’s annual report on Form 10-K and quarterly reports on Form 10-Q. In addition, this morning, we will discuss certain supplemental financial measures that were not prepared in accordance with Generally Accepted Accounting Principles. Reconciliations of these non-GAAP financial measures to the most directly comparable GAAP measures can be found in the tables accompanying the Company’s press release issued this morning. Company expressly disclaims any intent or obligation to update any of the forward-looking statements made in today’s call, any recording of today’s call, the press release issued earlier today or any of its SEC filings, except as may be otherwise stated by the Company. I’ll now turn the call over to Jim McCann.
Jim McCann: Good morning, everyone. We are pleased to share with you the results of our fiscal third quarter and our outlook for the remainder of the fiscal year. Results of the third quarter were in line with our expectations, and we are confident about the current fiscal fourth quarter as well as our outlook for delivering solid top and bottom line results for the full fiscal year. As we have been discussing for some time now, both Valentine’s Day and Easter shifted in timing this year compared with last year. The Valentine holiday shift to Tuesday this year compared with Sunday placement last year, worked in our favor for the third quarter. Conversely, the shift of Easter into the fourth quarter of this year impacted overall third quarter results. This seasonal timing anomaly are among the reasons why we have often suggested that it’s best to look at our results based on the first half and second half of the fiscal year. We believe this provides a more comparative view of our year-over-year performance and a better measure of the progress we are making toward our annual fiscal targets. In the third quarter, our Consumer Floral and BloomNet businesses continued their strong performance trends. Our 1-800-Flowers.com brand achieved double-digit top and bottom line growth, driven by a combination of strong everyday gifting combined with a very strong Valentine holiday. As a result, we further extended our market-leading position in the Consumer Floral category. BloomNet also achieved solid top and bottom line growth, reflecting another quarter of strong performance for this business. In our Gourmet Foods and Gift Baskets segment, results were demonstrably impacted by the Easter shift, which will conversely benefit the current fourth quarter. During the third quarter, we also are pleased to announced the signing of a definitive agreement with Ferrero International, one of the premier confectionery companies in the world in which Ferrero will acquire our Fannie May confections business for approximately $115 million in cash. The deal, which is on pace to close this quarter will also include a strategic commercial partnership with Ferrero that will provide us with access to Fannie May products as well as somewhat of Ferrero’s world-renowned chocolate confectionery brands, including Nutella and Ferrero Rocher. The combination of the Fannie May sale and the commercial partnership agreement will enable us to concurrently expand our product offering, further strengthen our balance sheet, drive increased EBITDA margin and enhance our position in the highly fragmented $22 billion gourmet food gift market, where we are already a leading player. Having wrapped up the third quarter and already recaptured the Easter revenues at the start of this fourth quarter, we are confident in our ability to deliver solid top and bottom line growth for the full fiscal year. Our management team, led by Chris, is focused on executing our business plans by leveraging the unique set of assets we have assembled, including our all-star collection of brands, our large and growing customer base with attractive demographics, and deepening relationships, our unique operating platform, which we call BOLT, and our strong balance sheet, which is getting even stronger, enabling us to invest in key internal growth areas as well as look for new partnerships and potential acquisitions that can accelerate our growth. By leveraging these assets, we expect to build on the positive trends we are seeing in our business. Looking ahead, I believe we have never been better positioned to grow our business and drive enhanced shareholder value. With that, I’ll turn the call over to Chris
Chris McCann: Thanks, Jim. As Jim noted, our fiscal third quarter was characterized by strong top and bottom line performance in our Consumer Floral and BloomNet businesses. This is offset by the impact of the Easter holiday shift on our Gourmet Foods and Gift Baskets segments. Adjusting for the Easter shift, we are pleased with our overall results for the quarter. In our floral businesses, we more than offset the impact of the Easter shift by leveraging 1-800-Flowers’ leadership in everyday gifting. This is the engine driving the continued positive trend we’re seeing in Consumer Floral. In addition, during the quarter, we maximized the benefit of having a Valentine’s Day fall on a weekday this year. We did this by being laser-focused on delivering an enhanced customer experience. This can be seen in our innovative approach to customer engagement, including our category-leading initiatives in mobile, social and emerging world of conversational commerce. And also in our innovative truly original product designs such as the hit Flirty Feline floral arrangement, which captured the hearts of thousands of cat lovers on Valentine’s Day and then our expertise in designing and deploying cost-efficient marketing and merchandising programs. We also benefited from our obsession customer service. This is a very important area where we continue to distance ourselves from the competition. This was illustrated by the Gold Stevie award that we won want during the quarter, the top honor in the e-commerce customer service category. In BloomNet, we leveraged the increased order volumes from both 1-800-Flowers and from growing shop-to-shop orders sent by our BloomNet florists. BloomNet also continued to innovate its product offering, aiding the new Bayberry Road line of jewelry and accessories, a very unique product line that helps our customers expand their offerings and grow their businesses. Illustrating the leverage in our business model, the strong revenue growth in both 1-800-Flowers and BloomNet, drove increased bottom line contributions. In Consumer Floral, contribution margin increased for the 11th consecutive quarter, up more than 15% compared to the prior year period. And BloomNet grew its already strong contribution margin more than 6% in the period. While we more than offset the Easter shift’s impact on our floral business, the revenue shift was significantly larger in our Gourmet Foods and Gift Baskets segments. The lower revenues resulted in declines in both gross margin and contribution margin for the quarter in this segment. With Easter now behind us, I’m pleased to report that all of our gourmet brands performed well for the holiday period, and we have fully recaptured the revenue that shifted out of the third quarter. Aside from the effect of the Easter shift, we are encouraged by the steady growth in everyday gifting that we are seeing in our gourmet food brands. Here, customers are embracing products that have been specifically designed for birthdays, thank you, new baby, sympathy, get well, among other occasions. We continue to see a tremendous opportunity to leverage 1-800-Flowers brands, everyday gifting leadership to drive growth for our gourmet food brands for everyday occasions. Looking ahead for the fourth quarter, we expect to benefit from that shift of Easter into the quarter as well as the continued positive trends we are seeing in 1-800-Flowers and BloomNet. As a result, we anticipate achieving top and bottom line growth in all three of our business segments for the quarter and delivering solid results for the full fiscal year. I’d now like to turn the call to Bill to cover the Q3 metrics in more detail.
Bill Shea: Thank you. As Jim noted in his opening remarks, the seasonality of our business, including such anomalies as the timing of wholesale orders in our first half and the changing Easter date in our second half is such that we believe it is better for investors to view our results on a first and second half basis. In terms of second half of the fiscal year, the movement of the Easter holiday represented a shift of more than $13 million in revenues, and approximately $3.5 million in EBITDA from Q3 to Q4. The largest share of this impact occurs in our Gourmet Food and Gift Basket businesses, hence, the year-over-year decline you saw in this segment in the third quarter. As Chris stated, we are pleased to report that we had a solid Easter holiday and have recaptured the revenues and contribution that shifted out of the third quarter. Now breaking down our third quarter results. In terms of revenues, total consolidated revenues were $233.7 million, essentially flat compared with $234.2 million in the prior year period. Adjusting for the Easter shift, revenues would have been -- would’ve grown nearly 6% for the quarter. Total revenues for the quarter reflects growth of 10.2% in Consumer Floral and 7% growth in BloomNet, offset by a decline of 13.6% in Gourmet Food and Gift Baskets. Gross margin for the quarter declined 130 basis points to 40% compared with 41.3% in the prior year period. This reflected flat gross margin in Consumer Floral combined with declines of 360 basis points and 140 basis points in the Gourmet Food and Gift Baskets and BloomNet segments, respectively. The gross margin decline in Gourmet Food and Gift Baskets was primarily attributable to the impact of the Easter shift, while BloomNet’s gross margins primarily reflected product mix in the period. Operating expenses for the quarter, excluding depreciation and amortization, improved 30 basis points to 43.4% of total revenues compared with 43.7% in the prior year period. The combination of these factors result in an EBITDA loss for the quarter, excluding stock-based compensation, of $6.5 million compared with a loss of $4 million in the prior year period. Our GAAP EPS for the quarter was a loss of $0.17 compared with a loss of $0.14 in the prior year period. Again, EBITDA and EPS results for the quarter reflect the impact of having Easter shift out of the period. In terms of category results. In our Gourmet Food and Gift Baskets segment, revenues declined 13.6% to $85.6 million compared with $99.1 million in the prior year period. This primarily reflects the shift of Easter holiday as well as the timing of some Harry & David revenues related to the brand’s Fruit-Of-The-Month Club shipments and some post holiday sales, which fell in the company’s fiscal second quarter this year. Gross margin for the quarter declined 360 basis points to 34.8% compared with 38.4% in the prior year period. And segment contribution margin loss was $10.8 million compared with a loss of $6.8 million in the prior year period. The decline in gross margin and contribution margin primarily reflected the lower revenue in the period related to the Easter shift as well as the timing of some Harry & David revenues. In Consumer Floral, revenues increased 10.2% to $124.7 million compared with $113.2 million in the prior year period. Gross profit margin for the quarter was unchanged to 40.6%. As a result, segment contribution margin increased for the 11th consecutive quarter, up 15.4% to $15.9 million compared with $13.7 million in the prior year period. As Jim and Chris have noted, 1-800-Flowers has built some nice momentum, and we expect to build on this going forward, particularly for the upcoming Mother’s Day Holiday. In BloomNet, revenues for the quarter increased 7% to $24.1 million compared with $22.5 million in the prior year period. BloomNet’s positive revenue growth trend is benefiting from a combination of increased order volumes and expanded offering of innovative digital marketing and advertising programs. Gross margin for the quarter declined 140 basis points to 53.6% compared with 55% in the prior year period, primarily reflecting product mix. And segment contribution margin increased 6.4% to $8.2 million compared with $7.7 million in the prior year period. In terms of corporate expense. Our category contribution margin results exclude costs associated with the Company’s enterprise shared services platform, which includes among other services, IT, HR, finance, legal and executive. These functions are operated under a centralized management platform, providing support services to the entire organization. For the fiscal third quarter, corporate expense, including stock-based compensation was $21.1 million compared with $20.4 million in the prior year period. Turning to our balance sheet. At the end of the third quarter, our cash and investments position was $56.8 million. Our term debt balance was $109.8 million net of deferred financing costs, and we had zero borrowings outstanding under our working capital line within our revolving credit facility. Inventory of approximately $63.7 million was within management’s expectations. It should be noted that our inventory balance at the end of the third quarter does not include the inventory for our Fannie May business, which has been classified as assets held for sale. Regarding guidance. We are reiterating our guidance for fiscal 2017, which includes revenue growth in the range of 3% to 4% compared with revenues of $1.17 billion in the prior year period; EBITDA growth in the range of 8% to 10% compared with adjusted EBITDA of $85.8 million reported for fiscal 2016; and EPS growth in a range of 5% to 10% compared with adjusted EPS of $0.43 for fiscal 2016. We are also reiterating our expectation for free cash flow to be approximately $40 million for the full year compared with $24 million in fiscal 2016. As noted in our press release this morning, our guidance does not reflect the pending sale of the Fannie May business to Ferrero International. For those of you who may not have seen our press release on March 15, 2017, we announced then that we had signed a definitive agreement to sell our Fannie May confections business to Ferrero International for approximately $115 million. Closing for the transaction is anticipated to be at the end of May, and depending upon the final closing date, our results will differ from the guidance we have provided. I will now turn the call back to Chris.
Chris McCann: Thank you. So, to sum up, we are well-positioned as we enter the fourth quarter of our fiscal year. We have strong momentum in our Consumer Floral and BloomNet segments; we are gaining traction in everyday gifting and for our gourmet food brands; and we are beginning to see the benefits of our multi-brand customer strategy from our website to our growing multi-brand marketing and merchandising programs. In this key focus area, we continue to make progress as a number of multi-brand customers is growing at a strong year-over-year rate. Sign-ups for our Celebrations Passport program are growing at an even faster rate, and we find Passport customers show a very high propensity to become multi-brand customers. And we are seeing customers increasingly embrace our Celebrations Rewards and Celebrations Reminders programs among our best drivers of customer conversion. Most important, the behavior of these customers continues to bode well for our future growth. Multi-brand customers purchase frequency is nearly three times that of single-brand customers, and this continues to increase. Passport customers are spending at rates of three to four times that of non-Passport customers. Retention rates, annual spending and customer sat metrics are also strong and getting stronger, leading to significantly enhanced lifetime customer value. And as we’ve noted on past calls, we’ve only scratched the surface. Multi-brand customers still represent less than 10% of our total customer base, giving us plenty of opportunity to ramp up growth. We’re pleased with the progress we have made, and we are always pushing for more. We are excited about what the future holds for our Company, and we remain focused on driving accelerated growth and building shareholder value. With that, let me turn the call over to Steven now, so that we can take your questions. Steven?
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] And our first question comes from Jeff Stein with Northcoast Research. Please go ahead.
Jeff Stein: Good morning, guys, and nice results. Sounds like you’ve got some good momentum heading into Q4 here. But wondering, it seems that if you hit your 3% to 4% revenue growth target for the full year that implies about 6% or better revenue growth in the fourth quarter. So, I just want to make certain that we’re looking at it the right way, and you do feel comfortable with that at this point. And also wondering with Easter behind you, what percent of the quarter has already been captured from a revenue standpoint.
Jim McCann: Jeff, I’ll ask Bill to start with that and give you some quantification, and then I’ll add a little color.
Bill Shea: Yes. Jeff, as mentioned in the press release, we have about $13 million plus in Easter revenue that shifted from Q3 into Q4. So, if you look back at Q3 where we’re relatively flat, Q3 would’ve gone almost 6% if Easter was in the same period and our year-to-date revenues would be -- would’ve grown about 3.1%. So, as you mentioned, we have a fair amount of momentum going into Q4, and we are comfortable with the numbers that you ascribed to Q4.
Chris McCann: Yes. And I think, again, the Easter shift being behind us, we know what that is. The momentum we have in Consumer Floral, and the progress that we’re making on the everyday gifting business also bodes well for us. So, not just for the quarter but moving into the next year as well.
Jeff Stein: Chris, with regards to everyday gifting, can you give us a little bit more detail in terms of what is working for you that perhaps was not working for you previously? And are there any specific occasions that suddenly have really begun to take hold and resonate with your customers?
Chris McCann: So, I think one of the first things here was that we needed to really step back and make sure that -- especially from the food brands perspective that we had the right products available for the everyday occasions. So, some lead time was necessary to go into the product development cycle. And we’ve done that. Some great products for example from the Cheryl’s company that I think of the sentiment collection, which is a nice tin of cookies with a wrap around that expresses all different kinds of sentiments, thank you, birthdays, sympathies, et cetera. The Harry & David business as well a good product development happening there and positioning themselves; all of our brands. So, I think that the occasions we’re seeing are the thank you occasions, the birthday occasions, of course sympathy, and we made a big made move into the sympathy category last year, as you know with the relationship that we developed the flowers brand and leading our food brands into it. So, different products with different brands but I would say the top ones -- top occasions we’re seeing are sympathy, birthday, get well and thank you.
Jeff Stein: Great. And I know that during the fourth quarter, you put Harry & David’s marketing under the corporate umbrella. And I’m wondering now that you have Easter behind you, do you believe that some of the changes that you’ve made in marketing are beginning to yield positive results there?
Chris McCann: A little clarification, Jeff, on what we’ve done there is, we took a team that has been running the digital marketing for several of our food brands and gave them the additional responsibility of Harry & David’s, not all of Harry & David marketing under a corporate umbrella, really focused on the digital the way. We need that digital expertise and learning and knowledgebase amongst the core team. So that’s going well. Overall, we are happy with some of the progress that we are making on Harry & David with some additional personnel that we brought into Harry & David in the marketing team, the formation of adding them into this digital marketing team. We’re seeing good early results. Keep in mind, fiscal Q3 calendar Q1 is a relatively slow time for Harry & David. So, on the digital side, right now, it’s all about testing and learning and preparing for the upcoming holiday season where we can ramp up those digital capabilities.
Jeff Stein: Terrific. Okay. And one final question. Just in relation to acquisitions. Obviously, the sale of Fannie May is going to create a big hole from a revenue standpoint until you redeploy those -- that cash. And I’m wondering if you can just talk a little bit about some of the criteria that you’re using to consider future acquisitions. Are you looking, for example, is it going to be primarily in the food gift area; would you consider making a dilutive acquisition; just some of the broad requirements you are looking at when you consider acquisitions.
Jim McCann: Jeff, this is Jim, and I’ll answer that question. Please don’t spend the money until the check clears. But in serious answer to your question, I think the discipline criteria that we’ve used in the past in terms of companies that can leverage off our both platform, companies that can broaden our offering that are attracted to our customers that are best done by us rather than through partnership relationships, those are the kinds that filters that we use as we look at acquisition opportunities. It’d be hard to say without any specific answer, your question is about will we do it; it all depends on how it fits on our platform. So, in the case of Harry & David, for example, we felt confident that we could achieve synergy numbers there on the cost side. And we’ve already done that and that’s in the bank now. We feel confident that they would sit nicely on a multi-branded portal, and after we were able to integrate that, we’re starting to demonstrate the benefit of that. So, we’ll take to market those kinds of considerations. If you look at Harry & David on a standalone basis, it wouldn’t have been as attractive. But when you look at it as part of the overall company with the knowledge that we could over time put it on the multi-branded platform, achieve the synergies and find different growth synergies to work on together going forward, made that an attractive investment. So, we have a team of people who are working in that area. The transaction hasn’t closed yet. We’re excited about the commercial partnership we’ll have with Ferrero, after we transfer the bulk of the assets of Fannie May over to them where they’ll be better stewards of the assets in terms of the kind of business capabilities they have. So, I think we achieved a really strong win-win proposition there. And that’s what we’ll look to achieve with any further acquisition activity.
Operator: Our next question comes from Eric Beder with Wunderlich. Please go ahead.
Eric Beder: Good morning. Let me add my congratulations on the solid quarter.
Jim McCann: Thank you, Eric.
Eric Beder: Could you add a little bit about the competitive environment you saw for Valentine’s Day and what is the competitive environment you’re seeing in general on the floral space?
Chris McCann: Eric, I think the competitive environment is one that’s always there; at a holiday time, it heats up. We saw that at Valentine’s Day whether it’d be from the usual plays, whether it’d be some startup companies or whether it’d be some of our primary competitors starting to invest money again back into the holiday. With that said, with all of that, we’re very happy with what we had during the holiday period. And I think that shows in our quarterly numbers as well. And I think if you look at it, we were able to maximize the day placement, understanding what the Tuesday capabilities would allow us to do. But then really as we look at how we compete from -- in the past and certainly how we’ll compete going forward, it really comes down to a number of things. It comes down to making sure that we’re constantly investing in our brand, a brand that has really woven itself into the fabric of American culture. Our products, truly original products bringing into the table on a regular basis, constant innovation around how we engage with our customers and around developing those processes. The customer service I mentioned earlier is just so critical and constantly looking on getting [ph] the customer service area and spend at everyday execution, leveraging and executing on net operating platform that Jim just spoke to that will look to leverage in acquisitions, it’s just executing on, it’s a matter of managing the full customer experience. So, we look at whether it’s a Valentine’s Day or a promotional holiday. And beyond that, we think we’re very well-positioned from a competitive point of view.
Jim McCann: Bill?
Bill Shea: Eric, just to understand the numbers and why we’re so pleased. Obviously we reported 10.2% growth for the quarter. Obviously, Easter shifted into Q4. If you pulled Easter back into Q3, we would be over 30% growth in the Consumer Floral brand and we were in the mid-teens for both at the Valentine’s Day holiday. Just very strong numbers for Consumer Floral.
Eric Beder: Okay. And in terms of the -- how increasingly are you integrating the florists even more in this business in terms of driving this? Just talk a little bit about that.
Chris McCann: So, BloomNet is a very important aspect of our business. And I think our focus is to make sure we’re constantly bringing products and services to them to make them healthier in their local communities. Whether it would be the florists or some of the greenhouses that garden centers that we operate with, one of the products like Bayberry Road collection, one of the products like marketing services that we bring to the table, the healthier they are, the healthier they are for distribution to the 1-800-Flowers deliveries to the 1-800-Flowers customers. So, a very integral part of our business.
Bill Shea: And again, we’re -- you see the 7% growth that we had during the quarter. BloomNet was a segment that wasn’t growing for a couple of years. And we got it to grow in the second quarter. Now, it’s growing again in the third quarter, the 7%. We’re up to 3% growth for the year-to-date for BloomNet. So, we’re very happy with BloomNet.
Chris McCann: And the other aspect, and it’s integral and being differentiated in the product offerings we bring to the table that is in spite by the Flirty Feline at Valentine’s Day. Our customers aren’t simply looking for a flower, they’re looking for a design. And really one of the great growing programs that we have is a local artisan collection. Again, giving us the ability to harness the creativity of these flowers throughout the country really gives us a competitive advantage.
Eric Beder: That’s a great point. Finally, product. After the sale of Fannie May, what will you have the ability to do with the Fannie May name on the product? And how do you envision kind of Nutella or Rocher fitting into your product offerings?
Jim McCann: Eric, Jim here. I would say that one of the things we wanted to achieve was our ability to continue to sell the Fannie May brands to our customers who become accustomed to them, to the 1-800-Flowers customers and the other brands and also for our florists who’ve become used to the products in their native communities. So, with our agreement, we will be able to do that. We’ll also -- this dialogue started with the Ferrero folks coming to us asking what we might do together in the e-commerce space. As we engaged in this conversations, over the course of couple of months, they became more excited about their plans for the U.S. and how our brand might fit in with that when we talked about our prior experience or what happened there and how long it had taken us to recover. And now that we got, geez, we’re going to have to increase our spend on the hard side of the business, on the wholesale distribution side, manufacturing and warehousing side. At their point thus was, that’s what we do every day. We have more scale to do that. So they got excited in the discussions about that resulted in this acquisition. But path that we started on that is us providing them with e-commerce services and alternative distribution services for their brands. Although we remain excited about because we’ll still have the e-commerce capabilities around the Fannie May products. But now Nutella, a couple of billion dollar brand worldwide, Ferrero Roche, another $1 billion brand, we’ll have access to these products to include them in our gift baskets and to sell them to our e-commerce customers. I’d expect now we’d also consider in the fall adding more and more chocolate brands. You know that we always had brands like a diver available for our customers who wanted them. I think we’ll start to shift our thinking to be much more of curator of different chocolate gifting products and self consumption products for our customers. And this arrangement helps us down that path.
Operator: Our next question comes from Dan Kurnos with Benchmark. Please go ahead.
Dan Kurnos: I really just want to focus more on GFGB. I think it’s hard to argue that you guys aren’t crushing at Consumer Floral; you’re clearly continuing to take market share and it doesn’t seem like your primary competitor has yet adopted a game plan there. So, on the GFGB side, I really just want to kind of drill down on a couple of things: One, there wasn’t a lot of color this quarter, understanding that there’s the Easter shift. So, maybe if we can think about it relevant to the front half of this year, just how the ancillary brands are doing outside of Harry & David? And then, secondarily, I know sometimes you get early orders for holidays on wholesale. I’m just curious kind of how that’s starting to shape up from a product demand standpoint?
Bill Shea: Well, Dan, let me start. First off, you saw the results for the third quarter, GFGB down $13 million. The lion’s share of that is that Harry & David. And I’ll speak to Harry & David in a minute. So the rest of GFGB was down a couple of million dollars. The Easter shift is -- most of the Easter shift that we mentioned, 13-plus-million-dollars is on GFGB. So, let’s say, $11 million of that is in GFGB; half of it Harry & David; half of it the rest of GFGB. If you added back that component back to the rest of GFGB, the GFGB brands would’ve grown mid to upper single digits for the quarter. So, they are performing well. Now, breaking down Harry & David. So, Harry & David was down on a reported numbers $10 million to $11 million during the quarter. If you look at it from a demand standpoint, because a lot of timing issues with respect to Harry & David. If you look at it from a demand standpoint, if we go from the period January 1 to April 16th, Easter, so we capture kind of payers to payers, a true comparison. Harry & David demand was up 2% for kind of consumer e-commerce. So, now where we want it to be, but showing growth. So, I think we’re pleased with that. The timing issues that we see with Harry & David is I mentioned Easter. $5 million shifts from Q3 to Q4, we already capture that. Fruit-Of-The-Month Club, $7 million, shifted from Q3 to Q4. We recaptured that already. So, a lot of it -- the negative revenue variance was really was timing. We had some timing at a beginning of the quarter that we already captured. But the large majority of it is timing at the end of the quarter we captured in Q4.
Jim McCann: I think that’s an important point you made, Bill, when you went back and looked at it from that January 1st through Easter Sunday that we did have growth with all of those timing shifts there. And when you look at it historically, they had hadn’t growth for a few years until last couple of years. So, 2%, good growth -- progress, not where we’d ultimately like it to be but you have to put it in context. Good point.
Dan Kurnos: And then, the thought on just on wholesale and if you’re starting to see any incremental orders and how you’re kind of thinking the product lineup kind of with an eye towards, obviously, it’s early in the year, but the upcoming holiday season?
Chris McCann: Yes. It’s still kind of early to really be -- to have a good read on the wholesale. Orders are just starting to come in. So, we couldn’t really forecast. I’d say early encouragement, but it is very early, Dan; it will be hard for us to comment at this point in time.
Jim McCann: Dan, this is Jim. I’d like to add some color on sub part of your question earlier on in terms of the other brands around the Harry & David. You remember, we acquired a couple of other brands within the Harry & David portfolio. And I’m very excited about the potential of those. They’re small brands but there is good and interesting things going on and very good leadership. Steve Lightman, who is the President of Harry & David, has appointed brand leaders for the brands such as Wolferman’s and for Moose Munch. And I just had a call with them in the last week and a half, getting their regular updates from them on the progress we’re making. I just love to see that good sense of our entrepreneurial spirit existing in those brands, they’re $20 million to $30 million brands, but their product is fantastic. Moose Munch product is great, the packaging is good, the brand attributes are terrific. Wolferman’s, the product I think is fantastic. And over 100-year old brand, good things going on there. I think the good young leadership we have in those brands will deliver some very positive performance and some -- put some smiles on our face in the months and years ahead there.
Chris McCann: And just to add a little color to that. With Moose Munch, we did a bunch of repackaging design. I know that got very favorable reception at some of the food shows starting back in January and through the spring. Wolferman’s product was really the first time we brought that product into these food shows. So, we did it in January. We have it come in again soon in show in New York Fancy Food Show. So again, good response there. And then, some of the things the DesignPac team -- one of the things the DesignPac team licensing other brands, we developed a great product line with Jack Link’s, Jack Link’s sauce and beef jerky. And it has developed a really good product line that’s just starting to sell into our retailers now. So really good things, product development, good response back, a little early on the results.
Dan Kurnos: Perfect. So, let me just ask one more if I can and kind of tie this altogether because look, we’ve talked about sort of Harry & David getting to where you want it to be. It’s sounds like you guys have a ton of irons in the fire here; you’re of looking at product expansion; you’re going to get benefit from the Fannie May sale, you’ve got the Ferrero product coming on board; you’ve got minimal penetration on the multi-brand; you’ve got limited penetration on Passport, even though that’s obviously a newer initiative. So, I’m just trying to get a sense from you guys and obviously thinking about reinvesting the capital from the Fannie May sales. So, how do you kind of balance all of these things to get growth where you want it to be? I mean, is there a way to sort of think high-level about the investment in either customer acquisition, focus on conversion rates, do you feel like there’s a right product mix or level that you need to get through or optimize? I guess I’m just try to get a sense for investors of where and how we start to see that acceleration and where the buckets come from your vantage point over the next several months as we head into the next important holiday period?
Chris McCann: Dan, as we look at ourselves, we look at our business, we kind of stop and say we’re a multichannel business and we lead with e-commerce. So, as we look at that, we think, okay. We look at our operating platform, we look at the all-star lineup of brands that we have assembled to really solve our customers’ gifting solutions. We start by looking at what’s the health of the customer file, how we’re driving that customer file, which brands are getting the best customer acquisition rates for us, and of course, the corresponding LTV, so that we know where then to go and invest our marketing dollars more appropriately. Yes, we’d like to grow all brands double digits. But we’ll put the money where the growth is in the LTV as appropriately. Having the right product assortment there is so critical. And even when I spoke earlier, I think we’re seeing early traction on our moves into everyday gifting for our food brands in the product development efforts that went into that for the past 1.5 years to 2 years to start hitting market now really in the past six months. So, that’s where we’re starting to put our investments and understanding what is needed to make sure that we’re solving more and more of our customers’ gifting needs. Putting efforts behind, introducing our customers to all of those brands in the multi-brand customer strategy is very critical for us. And we’re seeing the signs of that. As I mentioned some of the metrics that we see, while the numbers are still early, if you look at our overall results, we’re increasing our revenue and at the same time, we’re increasing our revenue rate little lower slower than we’d like but we hope to pick that up shortly. And we’re increasing margins at the same time. Clearly, the multi-branded customer strategy is playing a contributing role to that. So we’re very happy with that. Then we look at the products that we have and the manufacturing capabilities we have and the ability to extend those products out through the wholesale channels and just generate more and more brand awareness. So, you’re right. There are a lot of irons in the fire, with a well-rounded strategy and constantly leveraging also that operating platform. So, the operating platform is where we need to make sure we’re pushing the needle. Are we not only innovating around the customer experience, which you’ve seen us do a tremendous amount of work on that early lead into conversational commerce; not only innovating around the products that we bring to the market but innovating around how we deliver those products now. And you’ll see us we’ve been doing a lot of experimentation around delivery, looking at how the world of delivery and distribution is emerging and you’ll see us more active on that front in the year ahead as well as we need to make sure that we look at the full customer experience.
Dan Kurnos: So, Chris, I don’t mean to belabor the point. I guess, really, just the question is, because you brought it up on brand awareness, I don’t know that you guys -- I guess I’d be interested to hear if you guys feel like you’re at an appropriate level with customer on what the Company has become rather than where it was because it seems like that might be one of the challenges, and understanding that you guys obviously do an excellent job with costs, do you think there’s an opportunity to try to accelerate brand awareness now to understand that there’s a different lineup? Are you at a good place from a product perspective because, ultimately, it’s going to be customer uptake, customer conversion on multi-brand that’s going to probably drive acceleration and growth, right?
Chris McCann: The beauty is, we start with one brand, and then we’ve added another iconic brand, 1-800-Flowers, as I mentioned clearly, one of the best well-known brands in the country kind of woven into the American cultural fabric. When we’re mentioned on Saturday Night Live, when we are mentioned SA 8 [ph], when we’re featured in television commercials from IBM, Amazon that helps to continue to drive the awareness of that brand. Harry & David is known as a great iconic brand. Our strategy is to leverage those brands to really introduce our other brands rather than put an expensive and maybe not as effective marketing program in front of the smaller brands that would be necessary to lift their awareness in a shorter amount of time. What we’re looking to do really is leverage those. And again, we’re seeing evidence of that as we look at the multi-brand customer website, the smaller brands are benefiting. The smaller brands being Cheryl’s, Popcorn Factory, Fruit Bouquets, 1-800-Baskets, are really benefiting from the exposure that they’re getting through the traffic from 1-800-Flowers and Harry & David. So, in all of our brand’s marketing efforts, we’re constantly focused on increasing the brand awareness, specifically driving Harry & David and 1-800-Flowers.
Operator: Our next question comes from Michael Kupinski with Noble Financial Group. Please go ahead.
Michael Kupinski: Thank you. I have a couple of quick questions here. I know that you’ve tested personalization products. How has that effort gone, anything that you have learned from the test so far?
Chris McCann: Yes, personalization is a key component that we continue to drive throughout our Company. So, we have personalized products under the 1-800-Flowers brand -- around all of our brands. You have different products, have personalization capabilities. Those products are some of our fastest growing products. To that point, at Harry & David, I know we’re happy to add and Harry & David we do some embroidery and a couple of other personalization functions; we’re adding to capacity there based on the demand this past year. Similar at Cheryl’s where you can personalize the Cheryl’s cookie cutters as an example and some other products. We’ve had to add on our capabilities and capacities there. So, we’re doing that and continuing. We also have a very small business that’s really been in the R&D space for us called PersonalizationUniverse.com. And that’s been in the R&D space. We’re learning a lot. We’re now looking forward to bringing that more in front of our customers than we have in the past. It’s been kind of off platform, developing its merchandising assortment, finding out what works, what resonates with our customers there. We’ll start to introduce that in different fashions to the enterprise customer base this coming year.
Michael Kupinski: Got you. And was there anything specific related to the growth in BloomNet? Any certain products or possible new offerings that may have accounted for the acceleration of growth in that line?
Chris McCann: No, not in this quarter, really. Clearly, we benefited from the Valentine’s holiday shift until Tuesday more orders come from 1-800-Flowers, growing orders in the shop-to-shop sector. So really it was that. We did have additional product offerings, I mentioned but primarily from the holiday benefit.
Michael Kupinski: Got you. And I know that there’s been a lot of talk about FTD and the competition there. But can you talk a little bit more about potential competition in the floral space? I’m looking at Sam’s and they’re offering floral arrangements now, they moved away from just bulk, and your floral agreements for weddings with -- they have pretty compelling packages with the range of bouquets, areas and table flowers and so forth. And I look at your offerings and the offerings in the wedding side there has a lot to be desired it seems, just shopping by color, there is only 2 offerings white and purple it seems. And then there’s really no packages or a range of packages. Are you seeing competition evolve or from other places, certainly as we head into what is arguably the wedding season so to speak. What are your thoughts there?
Chris McCann: Really not seeing competition evolve dramatically in the floral business. We see some new entries into the business but nobody with anything different, kind of doing a lot of the same of what we’ve all been doing for a while. We have some people out there saying that changing the supply chain but it’s pretty much the same supply chain us and many others are running as well. Weddings for us especially in the online sector is not a big category for us. We represent wedding really only as a lead regeneration tool for our florists. We believe that’s best handled at the local market. And we have some of our flowers, our BloomNet flowers, our franchise flowers that are fantastic weddings where some of them weddings represent half of their business. So that’s a different category that we believe is much better handled at the local level. But most importantly, we just look to focus on driving our brand, bringing truly original product innovations to the table on a constant basis, looking to make sure we’re innovating. It’s making sure we’re providing a differentiated customer experience. So, competition comes and goes. As long as we continue to execute on what we know works with our customers, we think we’re in a good position.
Michael Kupinski: Would there be any reason why you would not own the whole floral brand so to speak by offering bulk and other types of things like that? It would seem like to me, why would you want competition evolve like this that would have the ability to do a arrange bouquets and things like that. It just sends customers to Sam’s for instance and not to the florist. Why wouldn’t you want to just own the whole category?
Chris McCann: I’m not too sure what you mean by bulk flowers specifically.
Michael Kupinski: Well, just bulk and offering in expanding your offering for weddings for instance. I’m just saying, why -- if was like just say 1-800-Flowers and I’m like, okay, then I want to get flowers, I want the option to order bulk flowers or the option to order a complete arrangement or something like that from weddings, it seems like why wouldn’t I want to go to you. I’m just trying to understand -- I know that you’re concentrating on range florals but why would you don’t just own the whole?
Chris McCann: I think most important, I think we always really try and understand who our customer is and focus on the business that are customers are looking for us today. Always and of course, pushing the edges on adjacencies and what other categories we could get into. I don’t think 1-800-Flowers or any one of our brands can be everything to our customers. Wedding is an example, it’s something that we’ve tested into from time to time, and we just don’t find that the online bulk ordering of wedding flowers that that market is appropriate for our customer base. It may be for customers that want to go into Sam’s to get their wedding flowers, but that is not really for the 1-800-Flowers. So, things like that, we’ve tested, we’ve looked at and new things. I think you see that; it’s in our DNA people. We will test and look at other categories, other line extensions and if appropriate, we will invest behind them, but sometimes it’s just not always appropriate.
Michael Kupinski: Got you. And if you’re looking and you talked a little bit about the M&A environment. If you’re looking at M&A, is there any prospects or timetables that you would like to have an acquisition? I understand that you really, your timing of an acquisition is always kind of tough to say, but I would think that your previous question about the hold, it’s going to be from Fannie May that you would think that you would want to kind of replace that with something. Do you have any thoughts in terms of something that you have a target now that you’d like to look at or any particular areas that look attractive to you that you would like to fill in terms of future sets or suites of products that you might have? Any additional color you can add there?
Jim McCann: Michael, we have -- this is Jim. We have a very detailed roadmap in terms of capabilities, services, products that we would like to add to our suite as we think of our construct as an organization going forward. So, you can be assured that we have a team of people, half a dozen people now, we’ve just bulked that up some who are following that -- we’re developing the roadmap and now following in terms of our pursuit and dialogue. We chat with a lot of folks. I will tell you there’s not a lot in the floral category that is truly differentiated that would attract us. We look at everything. We certainly want to have a point of view about our competitors, emerging competitors’ plans. But we’ve been doing this for quite a while and we’ve seen different classes of competitors emerge and go away frankly. We have made some acquisitions in the floral space in the past and we might in the future, but I just don’t see anything very attractive there. But we have a disciplined team of half a dozen folks who are working with outside advisers on all pursuit of things that would help that we think will help us shape this company to best serve our customers in the future. And that would likely be a little different than what you’re seeing from us in the past. So that’s as specific as I want to get it in terms of what we’re doing. But I assure you that we have a team of talented people who are hot in pursuit of the services, capabilities of products that we think help shape us for the future.
Operator: Our next question comes from Anthony Lebiedzinski with Sidoti & Company. Please go ahead.
Anthony Lebiedzinski: Yes. Good morning and thank you for taking the questions. So, I guess, first, just wanted to clarify. As far as -- there’s been a lot of chatter and I guess noise with respect to the Easter shift. So, when you look at the second fiscal half as a whole, I mean is the later Easter generally better than an earlier Easter such as we had last year?
Bill Shea: Generally, it’s slightly better.
Anthony Lebiedzinski: Okay. Got it. Okay. And then…
Jim McCann: When Easter is early, it sort of sneaks up on people. When moving back into April, people -- there are other retailers, other promotions are in the marketplace, I think people more aware of it. So as Bill said, it is a little bit better when it’s later.
Anthony Lebiedzinski: Got it. Okay. And as far as the multi-branded portal, I understand it’s a fairly small as far as customer base, I think only 10% of your orders come through multi-branded customers. So, can you perhaps share some metrics as far as the order frequency of your multi-branded customers and perhaps maybe average ticket, how that is versus the customers that are not multi-branded customers?
Chris McCann: I think what we’ve been seeing with the multi-brand strategy, and especially if I look at the multi-brand website really is the place the customers beginning to engage with that. We continue to see good progress. We continue to see cross-site exploration. People coming to seeing, have some of our customer merchandising gets them back and forth. So, we’ve seen nice exploration take place. Then, we apply our marketing tools to that across brand marketing and merchandising tools which really start with our loyalty programs. So, whether it’s a Celebrations Rewards program, the Reminder program or our Passport program that we spoke so highly of. In the case of multiband customers, the metrics I shared earlier really are that Passport customers tend to purchase at a rate of about 3 to 4 times that of non-Passport customers. When a customer becomes multi-brand, whether you’re Passport or not, you generally tend to purchase about 3 times out of single brand. So, you see why those customers are so important, and they’re growing percentage of our customer base. As I mentioned, still under 10%. So, while those numbers continue to be encouraging, they’re even more encouraging when we look on a go forward basis because of the growth rate. So, we’re very happy with the progress we’re making there. Thank you.
Anthony Lebiedzinski: Right. And the average order value of those multi-branded customers, anything you can share?
Chris McCann: No. We don’t break that out. Generally, would be consistent with what we see across the customer bases.
Anthony Lebiedzinski: Got it, got it. Okay. And do you think there is sufficient consumer awareness of your Celebrations Passport program? Because my perception is that I don’t think as many customers know about the program. So, if that’s the case, will you do perhaps some marketing programs to make people aware of that?
Chris McCann: Yes. We’re constantly looking at how we enhance the awareness of that. But I think we’ve done a good job this year. And really what we wanted to do this year to take it to a certain level. And we’re on track to meet the goals that we did. With that and with the confidence underneath that that we’re seeing in the performance metrics that I just told you about the customer behavior, we’re now in the process of looking at and okay, how can ramp up our efforts to drive that. I would love to get to 80 million households being Passport members.
Anthony Lebiedzinski: I’m sure. Lastly, I guess, can you comment on how you’re thinking about Harry & David catalog circulation and how you’re trying to balance that with doing more digital advertising for that brand?
Chris McCann: Anthony, as you know, as we’ve spoken, that is a delicate balance. With that said, clearly, we want to continue to drive more into the digital marketing arena where we think we can get more returns. Exactly how fast we can do that will be something that we move forward on very cautiously because we’ve seen companies. And in fact, we’ve made a mistake in the past. If you try and do that too quickly, you can lose your core catalog customer. So, we’re in the process of that now, really, going through our planning. We are ramping up our digital marketing capabilities and some other marketing strategies for Harry & David, trying to make the catalog much more efficient than it was this past year. But the balance between the two is going to be an evolution, not a revolution.
Operator: [Operator Instructions] And our next question comes from Alex Fuhrman with Craig-Hallum. Please go ahead.
Alex Fuhrman: We wanted to ask a little bit more about the buying pattern of some of your Passport users. It sounds like that was a nice little bit of bump for you guys here in the Valentine’s Day quarter. Curious the customers you do have that were ordering through the Passport program, when were most of them signing up? Are these people who typically signed up last year around Mother’s Day or around the Christmas season or did most of these people sign up for the first time when placing their order this year for Valentine’s Day?
Chris McCann: Alex, I’m just trying to think of that question. I’m not really sure of the specifics on that. But if I just look at some of the data points that I’m familiar with, clearly, the majority would not be just in this Valentine’s Day. What we do see is when they sign up and start to increase their frequency, that’s where we start to see them coming back for the other holidays and the other occasions, which are tremendous. So, yes, we get bumps of signups around the Christmas holiday and Valentines holiday, naturally, just with the bump of business. But it really is the build of that file and then the increase of frequency, marketing capabilities to them, reminding them of their ability to use Passport. So, we’re seeing that. What we also watch on a regular basis is on a kind of a daily, weekly, monthly basis what percent of the active customers of any given brand are coming are Passport or Rewards members. And we’re seeing that sea continue to rise. So, I think of it more from that perspective on a everyday growing business, how -- what percent of my customers are active Passport or Rewards multi-brand customers. And that’s the way we look at it more than any seasonal spike.
Alex Fuhrman: Okay. Thanks. That’s helpful, Chris. And then, I apologize if you guys said this, and I might’ve missed it earlier in the prepared remarks. But could you give us a little of a sense of how much revenue and EBITDA was being generated by the Fannie May assets? And then, obviously, the food business for you is a tremendously seasonal business. Would it be fair to assume that Fannie May probably had a little bit more waiting towards the Valentine’s Day and Mother’s Day quarters just given the assortment there?
Chris McCann: Go ahead, Bill?
Bill Shea: Yes, I think we described this in the past that Fannie May is north of $90 million in top line and it’s in that kind of $4 million contribution margin basis. So that’s what ultimately goes away as part of the transaction. Fannie May is like the rest of our food brands; it’s still heavily weighted towards the Christmas holiday. It certainly has little bumps at Valentine’s Day and Mother’s Day, but the Christmas holiday is just key holiday.
Operator: And this concludes our question-and-answer session. I would like to turn the conference back over to Chris McCann for any closing remarks.
Chris McCann: Well, thank you, everyone. I appreciate the time you’ve given us. I appreciate your questions. I’d like to remind everyone that we have the Mother’s Day holiday coming up. And I’d like to remind everyone that there are more than one mom in your life. So, we know a family of brands you can reach out to, to help celebrate all the moms in your life, and we look forward to speaking with you in the future. Thank you.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.